Operator: Ladies and gentlemen, welcome to the Veolia conference call. I now hand over to Mr. Philippe Capron, Chief Financial Officer. Sir, please go ahead.
Philippe Gaston Henri Capron: Thank you. Good morning, all of you. I'm extremely happy to present to you a very good set of Q1 results. They definitely support our confidence in our ability to reach our 2015 guidance. In a nutshell, as you can see on Slide 3, we have benefited in Q1 from our continued cost-cutting efforts. This has been still the main engine of our earnings growth. But also, we've enjoyed the favorable impact of our strategic decision to swap Dalkia France for Dalkia International. This has been a very beneficial move as expected. And of course, by the way, we've taken advantage of a favorable ForEx impact due to the lower euro. On the other hand, we've had some headwinds during the quarter as well. The climate has not helped. The winter in Eastern Europe has been almost as mild as last year's. We don't foresee signs of economic recovery yet, at least in France. And energy prices in Europe and in the U.S. have impacted our revenue but not our margins because, in most cases, this has been pass-through. If you turn to Slide 4. In terms of business development commercial activity, we've had good news, more good news, I would say, since the beginning of the year. The Lille water contract in northern France has been a major win for us. And we're also pleased to report a series of new contracts, especially in Korea and elsewhere. Our new Spanish hazardous waste treatment facility, which as you'll remember, we bought it at the end of last year, is off to a very strong start. We're very pleased both commercially and technically with the way this facility is doing. And we've continued to prune our portfolio with the closing of the sale of our Israeli activity and the sale of our participation in Singapore District Cooling. Both operations yield EUR 67 million in capital gains which, of course, is not indicative of a normal quarter. We do not have -- apart from SADE, as you know, we don't have any significant sales in the pipeline. We've used a small part of the proceeds from the disposals to buy out the remaining 8% minorities in our Eastern European water activities. On Slide 5, you can see that revenue has reached EUR 6.3 billion. This is up 8.5%, 4.7% at constant ForEx. And if you look at the pro forma figures, which as you will remember, means basically constant perimeter, it means looking at, in retrospect 2014, as if we have had Dalkia International for the full year, which in the present state, increase would still be 2.6% pro forma and -- but negative, minus 1.4%, at constant currency. We'll get back to that. In France, we have suffered the impact of water contract renegotiations which, of course, was fully expected. But we also suffered some adverse pricing effects in energy, especially in the U.S., in Germany, even though this has been mostly pass-through and, therefore, with no impact on EBITDA. We've had good growth, however, outside Europe. But as already mentioned, still a mild winter in Eastern Europe. So overall, this translates into this performance for revenue. EBITDA, however, is up 26%, still 22% at constant ForEx and still 6.6% at constant ForEx pro forma, meaning constant perimeter. We continue to have very good momentum, in particular in -- outside Western Europe. And this strong performance, of course, has been fueled, as already mentioned, by the pursuit of our cost-cutting activities. Current EBIT is up 21% on a pro forma basis and constant currency is still 9% up, so a very significant increase. And current net income is boosted by the disposals we mentioned, but it's also hurt, at the same time, by a significant accounting change. At least, it's significant for the quarter. Over the whole of the year, it will even itself out. But we have a negative impact of EUR 45 million due to the application of the new IFRIC 21 tax accounting rule. Net financial debt at close to EUR 9 billion, 8.95 -- EUR 8.97 billion is roughly stable compared to last year, year-on-year, March 2014. But it carries EUR 1 billion, almost EUR 1 billion of negative ForEx impact, which means that, that would've decreased by roughly EUR 850 million if the euro had stayed stable compared to where it was a year ago. This decrease, of course, has been driven -- would have been driven by the various disposals we made, the ones in Q1 this year, Marius Pedersen last year and, of course, the Dalkia operation, which has a positive impact on our net debt of roughly EUR 350 million. Of course, this -- our WCR management has continued to be very tight, and this has contributed to this good performance as well in spite of the ForEx impact. On Slide 6, you see a recap of the various figures we've just discussed, so I won't go through them again, except to make the following comment. Our revenues benefited from a 4% boost from ForEx and a 6% boost from the perimeter change, from the reported -- from the reported earnings to -- from pro forma earnings to reported earnings. But if you look at the EBITDA, the corresponding effects are 4% for ForEx, the same, but 15% for perimeter. So this really shows the value of the strategic move we've done in swapping Dalkia France with Dalkia International. And remember that this move, at the same time, has reduced our debt, as I just mentioned. Our EBITDA margin is up almost 1% to close to 13%. By the way, needless to say, that the cost of our new corporate communication campaign, which has been very successful, is included in these figures. We don't exclude it from our normal accounts, as some would. Current EBIT is up 21%, as I mentioned. And I also mentioned that the current net income is boosted by a large amount of capital gains, which is not recurring, of course, but suffered from a significant negative impact from the new IFRIC 21 rule. CapEx remains under control, and it's actually slightly down because of a lower PFI construction activity, which also has an impact on our top line. Free cash is negative due to the normal seasonal increase in working capital requirement, which is a bit stronger than the previous year because of the perimeter change, of course. Dalkia International is larger than Dalkia France. But free cash flow has improved due to higher EBITDA and lower CapEx. On Slide 7, we give more color on the revenue line. We -- at EUR 6.3 billion, we're up 2.6% pro forma. This is due, in part, to a favorable ForEx, as I already mentioned. In France, we see a slight decrease because of the impact of water renegotiations and still relatively low waste volumes as well as impact of recyclate prices. The rest of -- Europe has been impacted, I've just mentioned, by lower PFI construction revenue in the U.K. in spite of underlying volume growth in that country and by an overall decline in energy prices which, even though they are mostly pass-through. However, we record significant growth in the Rest of the World, especially driven by new contracts in Asia and Latin America. We also witnessed a good performance of our Global Businesses. Veolia Water Technologies is up 5% due to some new contracts. And for hazardous waste, on the other hand, we suffered the negative impact of lower oil prices which, overall, are beneficial for our cost but not for this specific activity. If we look at those figures by business, by business lines, in water operations, we've had overall stability but a continued rebound in technologies and networks. If we look at French Water, revenue is down 5.5% due to adverse contract renegotiations, especially in Eaux de Marseille this quarter, which had a full impact year-on-year. Volumes have been flat, however which, as you know, in water distribution is good news. And we still enjoy some price indexation in spite of the deflationary environment, with about a 1% price index increase. In Eastern Europe, we continue to see price increases, but it's partly offset by declines in volumes. And in the Rest of the World, water activities have been favorably impacted by the closing of new industrial contracts, especially in the U.S., in China or in Japan. For Waste, volumes are up 1% in Q1. We still have a slight decrease in Germany. But as mentioned, a good activity in the U.K., offset by lower PFI construction revenues. In energy, on a pro forma basis, meaning comparing with the Dalkia International figures, we've had a sizable revenue decline, 3.3% at constant currency due to still mild weather in Eastern Europe, lower gas and electricity prices in Europe, as well as lower energy prices in the U.S. If you move to Page 8, it's easy to read. Apart from the favorable ForEx impact, our revenue has mostly been impacted by lower commodity prices, most recyclates for waste and energy. On Page 9, we give you the euro chart on Waste revenue and volume. Our Waste revenue is down 0.8% at constant currency and scope. But this is not due to volumes, which are up by 1%. That's a sizable achievement compared to the weak Q4 which we had at the end of last year. The 2 main drivers, however, for the revenue decline are, therefore, not volumes, but they are the already mentioned recyclate prices decline, especially scrap metals and, to a lesser extent, paper, and the lower PFI construction revenue in the U.K., in spite of underlying volume growth in that country. In terms of EBITDA on Slide 10, a strong start to the year, as we've seen. For France, we've achieved a stable EBITDA in Water, which is quite an achievement because contract renegotiations have a very significant weight, about EUR 25 million for the quarter. So that's very significant headwind. That's helped by indexes and flat volumes. We've been able to take full advantage of our restructuring effort. The voluntary departure plan is close to condition, and we are on target in terms of both voluntary departures and mobilities. Waste, we've seen in France some decline in landfill volumes. And as already mentioned, the lower scrap metal prices. But this has been offset both by our restructuring efforts and by lower fuel costs. In the Rest of Europe, we've had overall EBITDA growth. In the U.K., good landfill volumes and low fuel costs all have combined to give us a significant performance. In Germany, we've achieved a stable EBITDA despite continued low volumes and prices, both in Waste and Energy. And in Central Europe, we've been able to improve earnings -- improve EBITDA significantly, thanks to cost cutting measures, which have offset the low electricity prices and the mild weather. The Rest of the World has been much better. In the U.S., we achieved a very good performance, especially in the Industrial segment and also in Municipal Water due to new contracts. In Latin America, we had a significant rebound of our -- both of our sales and EBITDA. This has been driven, in part, by new contracts, especially our collection contract in Buenos Aires. And in China, we continue to see good growth for our activities, especially our Industrial activities. Global Businesses are a mixed bag. We've seen that Veolia Water Technologies does well in terms of sales. But hazardous waste activity has had a slow start and suffers from the impact of lower recyclate prices, especially oils and plastics. And the SADE network laying activities in France have been impacted by a low level of municipal orders. If we move to Slide 11, we can see that, once again, cost cutting has been the major driver of our EBITDA improvement. The other factors stand to even themselves out. So apart from the favorable ForEx impact, it's been mostly cost cutting. On Page 12, you have more color on this. We are now absolutely certain that we will be able to reach, at least the EUR 750 million target we've set ourselves. And this quarter at EUR 44 million is about on track with what we expect for the rest of the year. We actually, hope to get back to a figure a bit higher than EUR 50 million per quarter as we witnessed last year. On Slide 13, the improvement of our current EBIT, plus 12%, still plus 9% at constant ForEx. It's a direct consequence of EBITDA growth, of course. And thanks to a lower cost of debt, current net income increases even more at 88%. And as already indicated, 2 adverse effects, larger number -- a larger amount of capital gains, EUR 67 million, but reduced by the IFRIC 21 impact of EUR 40-plus million. On Page 14, with the figures for cash generation, continued CapEx discipline, as already mentioned. A strong improvement in our free cash, which remains negative because of the seasonal impact on working capital. And the net debt, which -- and, of course, this working capital impact is going to be reversed by year end. We forecast about -- in spite of our growth, we forecast a stable working capital variation by year-end. This is a seasonal pattern which we observe every year. And as already mentioned, our financial debt, which is apparently stable. That pretty means we've absorbed close to EUR 1 billion impact in terms of currencies. On Page 15, we also mentioned that we've continued to manage our debt during this quarter. We have successfully tendered for about EUR 500 million of bonds maturing up until 2021 and 2022. This, by the way, is a continuation of a policy which we've had for the past 3 years. Overall, we will have bought back EUR 2.7 billion of bonds over the last 3 years, so that means EUR 3.2 billion, including the latest operation. Simultaneously, we've issued EUR 500 million of bonds maturing in 2028, so very long -- so that means close to 13 years in terms of duration, with a coupon of 1.59%, which obviously is the lowest in the company's history due to the decline of rates. But more importantly, it's also the lowest spread in the company's, at least, recent history, in the last 15 years, that we've had. So this shows the support we enjoyed from the market. And this support we also get from the rating agencies. S&P, just yesterday, confirmed our BBB rating and improved the outlook from negative to stable, which is a recognition of the fact that we are starting to get better Solvency ratios due to our restructuring efforts and, of course, the improved results. On Page 16, we conclude by the fact that, given this strong set of quarterly results, we are fully confident in the confirmation of our guidance, which means volume growth -- revenue growth for this year, EBITDA and current EBIT growth, due to continued strong operational performance, especially the benefit of our cost-saving plans, which we are now certain we'll fully conclude by year-end; continued CapEx discipline. I mean, this comes as no surprise given the recent performance in the past quarters. And our main 2015 objective, which is to cover the dividend, including the hybrid coupon payment, by our current net income and to finance it by free cash, excluding divestments while also, of course, keeping the net financial debt under control. So we will be able later this year to come back to you. We will be holding on November 17, an Investor Day, which will enable us to give a bit more color, more general perspective beyond 2015, which has already been outlined by Antoine Frérot. But we'll be able to give you a bit more detail and granularity on what and how we will achieve in the years beyond 2015. So I'm now ready to -- with my colleagues to take any questions you might have on this presentation.
Operator: [Operator Instructions] We have a first question from Martin Young, RBC.
Martin C. Young - RBC Capital Markets, LLC, Research Division: It's 1 question with 2 parts, and it's about the relationship with Transdev. Can you update us on the progress towards you reducing your stake in Transdev? And the second part of that, of course, is can you give an update of where we are with the Corsican dairies?
Philippe Gaston Henri Capron: Not an unexpected question. It's -- I mean, you put it very rightly. The path to a Transdev exit goes through an SNCM resolution. So I'll start with that. We've moved quite a bit, the company being in receivership. The clock -- its clock is ticking quite strongly. We have received confirmations through a letter which has been made public by the European Union that there is at least 1 of the offers for -- by new investors, which would pass muster with the EU, and therefore, we see a way where part of the company could continue under the stewardship of new shareholders which would allow us to exit. We've already -- we also discussed with the receivers the possibility that Transdev would cut a last check in order to help with the financing of the redundancy plan. In exchange of which, of course, we would get a clean exit with no possibility for anyone to dispute our role as a past shareholder and, therefore, with no more liabilities attached to a past shareholdership of SNCM. So that's where we are. It's not done yet. Whatever this -- whatever we do so far, we believe would be fully consistent with our accounting treatment. Meaning, there is no additional liability to be expected for Transdev or for Veolia from this unfolding situation. And therefore, we hope for a resolution within the next weeks which would enable us to cleanly exit SNCM. This would then, of course, open the way to a discussion with Caisse des Dépôts over the future of Transdev. And I believe that we probably could reach some agreement with Caisse des Dépôts at that stage to either -- in 1 move or over time, for Veolia to exit its position as -- in Transdev, which is still close to EUR 1 billion, if you add the equity and the financing. Meanwhile, Transdev is -- it continues to do well. We had a good start of the year, so no problem there.
Operator: The next question is from Olivier Van Doosselaere, Exane.
Olivier Van Doosselaere - Exane BNP Paribas, Research Division: I was wondering, if you could give us a bit more detail by confirming the pricing evolution in the Waste, in Europe in particular. And then secondly, if you also still continue to anticipate that, in terms of the pricing pressure on the French Water, that, that is something that should ease from 2016 onwards?
Philippe Gaston Henri Capron: I'm sorry, the second -- there was a noise which prevented us hearing the second question on Water.
Olivier Van Doosselaere - Exane BNP Paribas, Research Division: Yes. I just wondered if you could confirm that on the French Water contract renewals, that you still anticipate that, that pressure should ease from, I guess, from next year onwards when you look at the still remaining contracts to be rediscussed?
Philippe Gaston Henri Capron: Yes. We have a paradoxical year from this point of view in French Water, because on one hand, we have no significant contracts left to be renewed this year. So there should not be a significant carryover impact on next year. But this year, in spite -- we suffer the full-year impact of 2 large renegotiations at least, one is Lyon, and the other one is Marseilles. And therefore, the headwind we have this year is significant. The good news is that it coincides with the year where the -- we will also have almost the full benefit of the redundancy plan in French Water, which will help offset this impacted to a large extent. I must add that next year, not only will we have a much lower headwind in terms of commercial renewals because there are few this year, but we will also enjoy the Lille contract. It's about EUR 50 million of additional revenue. It's more than Nantes La Roche [ph] if you want to make a comparison. I'm sorry, your first question, in terms of -- I mean, pricing in Waste, we don't see -- I mean, the recyclates are still down, that's very clear, especially scrap, a bit less so paper which seems to be stabilizing at a low level. With -- I've seen recent analysis saying that prices were starting to go back up in April. This is kind of true, at least, they don't seem to go down significantly, but we don't see a significant upswing either. It's not -- we're not yet in a position to say that things are improving there. In terms of pricing conditions, gate fees and such, I -- I mean, there is no significant evolution. We've had some surprisingly good news in some cases, for example, landfill volume up in the U.K., that's unexpected. France is suffering more. Germany, in Germany our -- I mean, our volumes have been mostly driven by our own willingness to restructure our activities and to, in some cases, shut down money-losing facilities, which does not help the top line, but does help the bottom line.
Operator: The next question is from Guy MacKenzie, Crédit Suisse.
Guy MacKenzie - Crédit Suisse AG, Research Division: A few quick questions from me. Firstly, I think you just partially answered this question. But I just wanted to clarify, you mentioned an 11% decline in revenue in Germany. But stable EBITDA. And similarly, you mentioned that lower recyclate and energy prices in France reduced revenue but were EBITDA neutral. I just wanted to clarify if that reflected an allocation of your EUR 44 million in cost savings that you delivered this quarter, or if there are other factors at play, i.e. offsetting variable costs somewhere? Second question, the EBITDA in global, you mentioned it was down slightly, obviously, despite the positive FX benefit. You mentioned lower recyclate prices and the slow start to the year. I was just wondering it's still fair to expect full year growth in this segment? And finally, just a very quick follow-up on SNCM. If I understood correctly, the deadline to gain an extension to the May 31 deadline. So the deadline to extend that a further 6 months, I believe, was yesterday, and I didn't see anything on that coming through. So is it true that, whether it's a sale or a bankruptcy, that something has to happen by May 31 and that can no longer be extended? And then, maybe a very quick fourth question. I just want to clarify if the guidance for growth and revenue EBITDA and EBIT is at constant FX and scope, or at current FX and scope?
Philippe Gaston Henri Capron: I'm not sure where you get the 11% revenue decline in Germany. But be that as it may, it's been mostly driven -- I mean, the decline in revenue has been mostly driven by recyclates prices, with a lot of sorting in Germany. And also, on the energy side, it's electricity prices, but it's been mostly pass-through. So that's why we've been able to have a stable EBITDA in spite of the revenue decline. I'm not sure I got your second question about lower recyclates prices. But clearly, we're not in a position to forecast where they will be at the end of the year. We hope they recover somewhat, but it's very difficult to make any prediction there. I mean, hopefully, with the -- with a bit more favorable macro, we should see those prices at least stabilize if not start to go up again. But, I mean, it's very difficult to forecast. For SNCM, the situation is not completely clear. You're right, the District Attorney has asked for a 6-month extension which, frankly, came as surprise for everyone, especially because the company does not have 6 months of cash at its present burn rate. And, therefore, it's absolutely hypothetical that this situation could go on for 6 months, especially at a time when the EU itself has recently reasserted that the situation was intolerable and a 6-months extension was absolutely a no-go if -- for any type of solution. So without money and without support from Brussels, I don't think this would fly. The President of the Commerce Tribunal in Marseille has not taken a position yet. But he probably will on May 11, which is the next hearing. But I suspect it will be very difficult for him to push for a 6-months extension, which would be a pipe dream anyway. In terms of the guidance, the guidance is what it is. The guidance is revenue growth. We, of course, hope that this revenue growth will not be solely boosted by FX. But at the same time, keep in mind the fact that the perimeter impact, the Dalkia International deal, actually reduced our debt, so it's not unfair to take this on board. If we are able to achieve over the full year, a constant perimeter, a constant currency increase, we'll be even more pleased, of course. And we're striving to achieve this, but that's not -- the guidance does not go as far as this.
Guy MacKenzie - Crédit Suisse AG, Research Division: Okay. If I could just follow up quickly. The second question was more on EBITDA in the global segment, rather than recyclate prices. I know that recyclate prices affected EBITDA in Q1. But -- and so did the end of a couple of contracts in Portugal, I believe. But I was just wondering if we can still expect EBITDA in the global segment to grow for the full year?
Philippe Gaston Henri Capron: Oh, we certainly hope EBITDA to grow for each of the -- I don't know what you call the segments, whether it's geographies or the old water, waste and energy activities. But we clearly strive to have EBITDA increase, at least for the 3 old activities, let's say, water, waste and energy.
Operator: The next question is from Harry Wyburd, Merrill Lynch.
Harry Wyburd - BofA Merrill Lynch, Research Division: Firstly, a couple of questions on the U.K. So your landfill volumes are up. That's slightly at odds to some of your competitors. So I wonder if you could give us just a bit of detail on why you're seeing better landfill volumes? And then secondly, on the PFI construction revenues, is the decline there a one-off? Could you give us a bit more background on why that's happening? And then, finally, can we just revisit the commodity price impacts, so recyclate prices and energy. There's an EUR 82 million negative impact on revenues, but 0 on EBITDA. So does this mean that you're now fully hedged on energy and recyclates prices in future, in particular, if you take spot spreads on cogeneration plants. How do you sort of fully hedge them out at EBITDA level?
Philippe Gaston Henri Capron: In the U.K., I mean, this is just a quarter. So I'm not -- we do not anticipate that landfill volumes are going to continue to increase. I mean, we've reached a much lower level, which has been a deliberate policy by the British government to encourage PFI and not the landfills. So it's just a quarter. I don't draw any very significant conclusion from this. In terms of the PFI construction, everything is on end. As you know, we have about a 25% market share in those new incinerators. The way we account for -- and therefore, the program is starting to slow down. It will stop about 1 year, 1.5 years from now where we will have built our last large incinerator and, therefore, we will have no more construction revenue. This construction revenue is just the way we account for those investments, the way we have to account for those investments. It's not yet official because it carries no -- almost no margin and, therefore, no earnings. In terms of recyclates and energy prices, you really have to analyze this contract by contract. In many cases, we are not hedged for recyclates. Meaning, if recyclates go down, it's our loss. In some cases, we're able to pass it through to the customer or to reduce the price at which we would pay for inputs. But for recyclates, we tend to be exposed. For energy prices, again it varies from one country or 1 contract to the next, but we tend to be hedged, and we tend to be relatively indifferent.
Operator: The next question is from Emmanuel Turpin, Morgan Stanley.
Emmanuel Turpin - Morgan Stanley, Research Division: My first question would be on your full year guidance. You've very clearly reiterated the guidance as explained at the start of the year. I wanted to revisit with you the underlying assumptions for this guidance. At the start of the year, you had mentioned that you were basing your budget on low or no economic growth on foreign exchange, not quite at mark-to-market, or you were saying, maybe halfway to mark-to-market. The weather, you were hoping for or budgeting for maybe some improvement on the very warm '14. And last, from memory, you were assuming a similar level of capital gains compared to last year, i.e. around EUR 40 million. Now I'd like to revisit those assumptions, in the light of what we've seen year-to-date, on what the outlook looks like. I would like to get a confirmation that the better performance in terms of capital gain in Q1 doesn't change the assumption that the guidance doesn't count on this extra capital gain and maybe your view on each of the assumptions, how the year is shaping up on a positive or negative way. My second question would be just a quick reaction to a comment you made on stable net financial charges in Q1 due to lower income from [indiscernible] loans on ForEx FX. What is now your best guess assumption for the full year? Do you still believe can improve your financial results despite FX? And last, coming back on Slide 9, on the Waste chart, your volume effect -- volume/activity levels at plus 1% is a positive surprise. Could you give us a bit of light in breaking down maybe by countries or by activities?
Philippe Gaston Henri Capron: Thank you, Emmanuel. The problem with forecast is that they are confronted to real world which then changes. So of course, the assumptions underlying our full year guidance have all moved. If we take them one by one, the macro should be better than we expected, or that we budgeted for, even though we don't see it yet -- I mean, certainly not in France but not much more in Germany or the U.K. We continue to have some positive signals from the economy in other geographies, especially the U.S. and China. But this is not unexpected either. So this assumption is probably the one which we would still make today, even though we hope for better. Weather has been a very unpleasant surprise. I mean, you remember that in Eastern Europe, this had been the -- I mean, 2014 had been the warmest Q1 in 150 years. And this year has been close to it. It's actually been worse in Poland and Lithuania. It's been better, i.e. colder, in the Czech Republic, but weather has been a bad surprise. We thought we would enjoy that positive momentum, and we haven't. And we've improved EBITDA in Eastern Europe energy. It's due to restructuring and better management, not due to volume or prices impact. ForEx is, of course, helping compared to 2014, but also, compared to our own forecast. And I don't know if this will be the same for the whole year. But clearly, Q1 has been better from that point of view. And the EUR 67 million of capital gains are, of course, higher than what we had in mind, which was closer to EUR 40 million, a figure comparable to last year's full year performance. But I mean, clearly this should not be multiplied by 4. Clearly, this is a one-off. I mean, we flag it at such. We don't want to fool you guys by -- even though it's in the current net income, we know it has an exceptional nature. But 2 things: one is we might have either other gains, especially if we were able to sell SADE by end of the year, but we might also have losses if we decide to divest some other activities. And second, as we would flag it, you can make your own judgment whether we reach our EUR 500 million figure in terms of net income by shaving off the extra capital gains we would make by the end of the year. So you will be in a position to make your own judgment. In terms of financial charges, we've had -- I mean, as you know, our problem is still that we have a long debt incurred at high prices. Good news is we're running out of cash, so to speak, and relying more and more on -- we will be relying at -- in the middle of the year after we've paid the dividend and reimbursed this year's bond, there was a bond which lapses midyear for about EUR 1 billion -- at this stage, we will be relying on the commercial paper market. We actually paid -- this lasted only a couple of weeks, but we actually paid a negative price for issuing commercial paper for, I mean, 1 months duration, not long paper, of course, at some stage a few weeks ago. And therefore this is, of course, a very attractive alternative financing for us. The currency impact is significant but not huge for the quarter. The negative currency impact due to our foreign currency-denominated debt has been EUR 4 million, or a bit less than EUR 4 million, so even if you extrapolate this for the whole year, it's EUR 16 million. And clearly, the measures we've taken and the natural evolution of our -- of the economics of our debt, it should still enable us to reduce the cost of our debt significantly and then the overall financing cost significantly over the whole year. So we are still optimistic there. On Slide 9, I don't know what more to say in terms of cover. As you know, this -- there are such significant variations from country to country and activity by activity, that it's very difficult to have an overall picture which would be might clearer than what we already provide you with.
Operator: The next question is from Julie Arav, Kepler Cheuvreux.
Julie Arav - Kepler Cheuvreux, Research Division: Most of my questions have already been answered. Maybe 2 follow-up ones. On the cost savings, you mentioned EUR 44 million of contribution. Can we have an idea of the restructuring costs which were associated in Q1? And just a second question, which is a follow-up to the one-off of Emmanuel. Regarding your guidance, why such caution to maintain your outlook? You reported good Q1 figures, Convergence Plan is ahead of the full year target. You've already achieved 85%. The volume waste is indeed a good surprise, being up 1% despite no new commissions. So could you, please, just give us more color on why such caution maintaining your full year guidance?
Philippe Gaston Henri Capron: Thank you. On the cost savings, there's a EUR 22 million restructuring cost, which is associated for the quarter, is almost exclusively the redundancy plan. We had earmarked, I think it was EUR 97 million at the end of 2013 to pay for this redundancy plan. It's unfolding according to our forecasts, and the EUR 22 million is a tranche of actual payments of -- on this EUR 97 million envelope, which has been provided for this quarter. As we move towards more savings on the purchasing front and on the operational efficiency front with our benchmarking efforts, we will be incurring less and less restructuring cost because those are -- have been mostly associated with the significant redundancy plans which we've gone through. In terms of caution for the guidance, 2 things. Well, I basically agree with you, but I mean we aim to please. If Q2 is as good as Q1, we might come back to you and tell you -- and fine tune the guidance and be a bit more bullish. But at this stage, it's still early. I mean, it's still Q1. Q1 is a strong quarter, at least for energy. In spite of what I said about the climate, this is still -- I mean, Q1 is still a much better quarter for Energy business than Q3, obviously. And therefore, you should not multiply everything by 4. So we're very pleased with this quarter, but give us a bit more time and maybe we'll come back with a better outlook.
Operator: The next question is from Vincent Ayral, Societe Generale.
Vincent Ayral - Societe Generale Cross Asset Research: I'll do a follow-up question on the lower energy recyclates prices but flat EBITDA. I'd like to understand a bit better how lower recyclates do not impact the profitability of recycling activities there, or how things even out at the group level. That's question number one. The second would be on the net debt. You've been talking about the ForEx impact over the course of the year. But just if you could give us a bit of color on the net debt evolution given the 31st of December, and now -- and what has been the ForEx impact of the period? And finally, on the IFRIC, you've been saying that the recurring net income was somehow impacted by the IFRIC. Although what I see there is that year-on-year, the IFRIC seems to be pretty much flat when we take the pro forma. Is it a fair assessment or not?
Philippe Gaston Henri Capron: Okay. I'll start with your last questions. On the net debt, as you will remember, we had mostly, in Q4 last year, the EUR 400 million impact already on ForEx on our net debt. We've had a further EUR 560 million for Q1 so that the total amount, if we look at the year-on-year on a 12-month period, is close to EUR 1 billion. This is due to the fact that we have a significant -- I mean, we financed a lot of our -- most of our foreign acquisitions in the local currency. And therefore, as the euro weakened, we've had a negative ForEx impact, which roughly, for the EUR 600 million of this quarter, is about 1/3 the sterling pound, 1/3 is the U.S. dollar, not necessarily dollars, but other currencies which are strongly linked with the dollar; and 1/3, all of the others, meaning mostly Eastern European currencies. So that's been the impact. On IFRIC, we have restated 2014 figures to make them comparable. So IFRIC does not impact the change year-on-year. However, it does impact the qualitative assessment you can have of our earnings because if there had been no changed rules, our earnings would be EUR 250 million instead of EUR 212 million. This will -- over the year, it's going to be completely offset the -- what the rules say is that some taxes, some land taxes or the contributions Social de la Solidarité in France for example, those are the main ones, instead of being spread out over the whole year, have to be incurred -- if they're due on January 1, they have to be booked on January 1, or in Q1. Meaning, that we have the full impact of those taxes in Q1. And then, of course, we have no more impact in Q2, Q3, Q4. So over the course of the year, this impact will disappear. But if you want to have an assessment of the absolute figures, you have to keep that in mind. In terms of lower energy prices, I mean, it depends, again from 1 country and 1 contract to the next, but we tend to be able to pass this through to our customers. And, therefore, the fact that there is especially in North America, we've had lower prices, which impact our sales but do not impact our earnings because basically, we -- I mean this -- goes through our P&L, which again, is not necessarily the case with all the waste recyclates.
Operator: The next question is from James Brand, Deutsche Bank.
Philippe Gaston Henri Capron: I'm sorry, just an additional thought. On the other hand, we've had a negative in our Waste activity from waste recyclates, but we've had a positive from fuel, especially in our collection activities where, of course, we have lots of trucks. And we've been helped by the fact that diesel oil is cheaper.
Operator: Thank you. Mr. Brand, your line is now open for your questions.
James Brand - Deutsche Bank AG, Research Division: Two questions. Firstly, a follow-up on the impacts of ForEx on the debt. It looks like your net debt is up about 7% year-on-year because of ForEx, whereas the revenues and profits were up anywhere between kind of 3% and 5%. I did have the impression that you were fairly well balanced between your non-euro revenues and profits and your non-euro debt. But it looks like, potentially, you've got slightly more debt than profits outside the euro. Could you just comment on that? And if there are any numbers you could give us, that would also be helpful. And the second question is around the longer-term trends in French Waste. Obviously, the government are -- have a strategy to try and reduce landfill and push up the proportion of waste disposal that's going to recycling and energy from waste. I was wondering whether you could just talk through that and whether or not that's an opportunity for you or a threat?
Philippe Gaston Henri Capron: On the debt, it's fair to say that, given the fact that our debt has been incurred in conjunction with foreign investments, because that's where the growth has occurred over the past 10 years, the debt tends to be a bit skewed towards foreign currencies, especially the U.K. and U.S. and the U.S. dollar, which -- so that means that in a way, we financed those developments with ForEx denominated debt. Whereas, the historic activities of the companies tend to be more financed by the equity on the balance sheet more than this. So there is a little skew, as you said, which means that there is a bit more impact. Even though, if you look at the full picture, we -- the impact of ForEx on our EBITDA has been much, much larger than it's been. It's been 4% at EUR 32 million. Whereas, as mentioned, the impact of ForEx on our financial expenses for the quarter have been only EUR 4 million. So overall, we remain largely in -- we are still in pretty good shape from currency. Also, of course, we have to record our debt on the mark-to-market currency. Whereas, our assets, which are U.S. or U.K. or zloty or whatever, denominated, have not -- have appreciated as well. And the flow of earnings we'll get from those assets has appreciated even though that's not recorded in our balance sheet, of course. So there is a form of optical effect there. In terms of French Waste, I mean, the government has been advocating moving from landfills and incineration towards sorting for the past, yes, 15 years, says my colleagues. I was a Director of the [indiscernible], when I head the Arcelor Packaging, that was already very much the policy we were pursuing. Nothing has happened since, or almost nothing or very little for lack of a policy, as we've seen -- a constant and persistent policy, as we've seen in the U.K. where basically, the landfills are being taxed into extinction over a long period with no change in policy. This has been much more consistent. In France -- the Germans have been very consistent there as well. In France, we've not seen it yet, doesn't mean it won't be coming, but we've not seen it yet. We are not overly -- I mean, we tend to have more incinerators market share than the landfill market shares. We are developing sorting in many efficient and innovative ways. So I don't feel that we have a lot to fear from this policy if it ever came into activity, even though, of course, we get better margin from landfills than any other activities. So we are in no hurry to see that evolution materializing.
Operator: The next question is from John Ferrer [ph], Mediobanca.
Unknown Analyst: I have 5 questions, please. Firstly, could you just clarify your backlog at BWS, where do we stand in Q1, along with when are we expecting the Az Zour contract in Kuwait to complete, and Sadara in Saudi Arabia? Number two, on the working capital, I think it's EUR 660 million worsening on net debt because of that. I understand there's obviously seasonality. Historically, it was around EUR 400 million. Of course, you've got Dalkia consolidation. I just wanted to make sure that there is nothing, you're not having any issues in collection of money in Italy at Dalkia? Thirdly, on SADE, I think you kind of talked about it earlier, but are you still confident you could sell the business this year? Number four, which is a bit, an overly detailed question, but I just want to have an idea of what kind of FX rate do you use in converting your Argentinian peso into euros? And finally, back to SNCM, I was reading that the bookings are awful this year, 1/3 of what it used to be last year. But then again, fuel costs are down 40% year-on-year. So I just wanted to know, just to see if you're confident that SNCM cannot run until September?
Philippe Gaston Henri Capron: I'm not sure I understood all of your questions. The backlog question you alluded to was covering what?
Unknown Analyst: So it was a question on where's the backlog at BWS at the moment, like where is it standing? And then when are your contracts in Kuwait, which is the Az Zour desalination plant and the Sadara desalination plant completing?
Philippe Gaston Henri Capron: Okay. Compared to the end of 2014, our backlog is up about 5% at BWS. On the Az Zour contract, I'm not sure we have -- I'm turning to my colleagues, because I'm not sure I have a start date. It has -- -- they confirmed it has started, okay, so there is some of it in this quarter's revenue. On the working capital requirements, the main change compared to the previous year is that we have Siram which is Dalkia International in Italy which has a large WCR which is included in the accounts, and that's the main impact of the perimeter change of Dalkia. On ForEx, I'm not sure I got your question either. Oh, yes, it's the Argentinian peso. I'm turning to my -- to Denis Gasquet, who is our Chief Consolidator. I suspect we convert it at the official rate because -- for lack of a better alternative. Argentina is not very large in our overall sales, as you may well imagine. And needless to say, we are not investing directly there. Everything is financed, either by the customer or by local debt. And in terms of SNCM, the cash forecasts we have, in spite of the low fuel cost, is that there's no way they can run until September, unless, especially -- in view of the much lower bookings, unless there was a cash injection which, obviously, would not come from either Transdev or Veolia, and which I suspect, would not come from the French state either. I mean, they've put EUR 30 million into the company last year to absolutely no avail. Every indication we have is that they are not going to go down that route again. Did I answer all your questions?
Unknown Analyst: Yes, mostly. It's just I'm still not clear when the construction phase is going to be completed of your gulf country desalination project, Az Zour and Sadara. Are we halfway or are we 3/4 of the way into the construction phase, or are we 1/3 in the way?
Philippe Gaston Henri Capron: I don't have the answer. My colleagues whisper in my ear that, typically, those are 18 months duration contracts. But I mean, we'll get back to you with a more precise answer on that one.
Operator: The final question is from Philippe Ourpatian, Natixis.
Philippe Ourpatian - Natixis S.A., Research Division: Just a follow-up question concerning 3 main points. First of all, you mentioned volumes down in the French landfill business. Could you just elaborate about this trend which is -- I mean, are these trends coming from the natural decline of the urban waste volumes? Or is there any industrial impact in this landfilling downward trend in France? The second question is concerning the EUR 16 million of other which are fueling the EBITDA. Could you just clarify what kind of component there is in this EUR 16 million? And the last point is concerning the working capital seasonality. As you mentioned, the bulk of the negative impact is coming from the Energy Services. This is mainly due to seasonality, but as also you mentioned it's difficult to forecast any trend in terms of weather. What could be, I would say, your different options in order to reach stability in terms of working capital requirement variation? If the weather is not quite cold during the fourth quarter, do you have some possible action in order to reverse any downward trend on this specific area?
Philippe Gaston Henri Capron: Thank you. The answer to your first question is both. I mean, we have -- I mean, there is a secular trend towards lower volumes in landfill, as we mentioned, even though it's not as -- happening as quickly in France as in neighboring countries. But also, we've had a weak quarter, especially in construction in France, somewhere -- in industry as well, but also -- but specifically in construction, we do a lot of construction-related waste, which is being landfilled. And we've had from that point of view a disappointing quarter. In terms of the EUR 16 million on Slide 11, it's really a mixed bag. I mean, there is a wide variety of elements. And there is no specific big item in this EUR 16 million figure. In terms of working capital reduction in conjunction with the weather, I'm not sure I follow you. What I can tell you on the other hand, is that of course, the weather having been mild, we've immediately started in the corresponding geographies additional plans to try to offset by -- I mean, working on maintenance costs, working on the efficiency, to try and offset this to the highest possible extent in order to still be on budget for those businesses, in spite of a disappointing Q1. We also pray for a cold Q4, but that may not prove efficient, it was not efficient last year.
Philippe Ourpatian - Natixis S.A., Research Division: Okay in fact just to present my question this was mainly to have some color about your capacity to add some other kind of measure in order to fully reverse the trend which is normally the seasonality, but as you mentioned, there is no capacity to forecast the weather. So do you have somewhere in the other, for example, businesses or geographies which are not so linked to the seasonality of the Energy Services business? So it means, in order to reverse this trend, if the trend is quite bad, that means cold -- hot weather in the fourth quarter, that was the point, in fact.
Philippe Gaston Henri Capron: Well, I'd say we have -- well, first, we tend to have contingency plans if we incur some disappointments for some businesses. But so far, in spite of a relatively disappointing climate impact, we are fully on track. I mean, it's not -- we've not used up -- we are on-budget without using any of the contingencies we had put on budget. So actually, we are significantly ahead of budget so far this year. Therefore, we are not in any form of panic mode. It's quite the reverse, actually. We want to continue to stay the course as we have in Q1. And there is no emergency planning going on at the present time, both in terms of cash generation and in terms of earnings.
Operator: We have no further questions.
Philippe Gaston Henri Capron: Very good. So thank you, all, and we'll -- I'm sure we'll meet again soon so that we can continue this discussion. And at the very least, we'll be meeting you guys on November 17, where we will be able to give you more granularity and more color to the Veolia story beyond 2015. Thank you.
Operator: Ladies and gentlemen, thank you for your attendance. This call has been concluded. You may now disconnect.